Operator: Good day, and welcome to the COGECO Incorporated and Cogeco Cable Incorporated Q4 2014 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Andrée Pinard, Vice President and Treasurer of COGECO Incorporated and Cogeco Cable Incorporated. Please go ahead.
Andrée Pinard: Okay. Thank you very much. Good morning, everybody and welcome to our fourth quarter conference call. I have with me this morning, Louis Audet, our President and CEO; René Guimond our Vice President, Public Affairs and Communications; Pierre Maheux, Interim CFO and Vice President and Corporate Controller and Alex Tessier, Vice President, Corporate Development. Before we begin this call, I would like to remind listeners that this call is subject to the forward-looking statements, which can be found in the press release issued on Friday, October 31, 2014, by COGECO Inc. and Cogeco Cable. So I will turn the call to Louis for further comments before the question-and-answer period.
Louis Audet: Thank you, Andrée and good morning, everyone and thanks for taking the time to join us for this fourth quarter and yearend result review for fiscal 2014 for both Cogeco Cable and Cogeco Inc. As you will have seen, we are extremely pleased with the results that both companies have generated. Let us being with Cogeco Cable Inc. In Canadian Cable for the year, EBITDA has growth 14.4%, thanks to the inclusion of a full year of Atlantic Broadband and Peer 1 Hosting, along with internal growth in all of our operations. On October 30, 2014, last Thursday, we announced the launch of our TiVo advanced television service throughout Ontario with plan immediately effective in fact today, with plans to do so in Quebec in the early calendar of 2015. This is a market leading service and we're extremely excited about its potential. This launch will help us stabilize and reduce primary service unit losses, hence we expect that PSU losses suffered in 2014 will start reducing and with any luck, we might gain customers. We currently sell a market-leading 120 megabit per second service that is available to over 75% of our Canadian footprint and with [far enthusiasm] (ph). In U.S. Cable, primary service unit numbers are increasing and good measure thanks to the availability of our market-leading TiVo advanced television service, which has been available since May to 95% of the Atlantic Broadband footprint having been launched originally in Cumberland, Maryland in October of 2013. Also the availability of our market-leading 75 megabit per second internet service throughout the franchise and the availability of 1 megabit per second -- gigabit per second internet service in parts of Miami. Momentum is also building in the small and medium size enterprise market as well as the large enterprise market. In the enterprise data sector, we continue to work to solidify our control processes at Peer 1 Hosting, with a view to being C-198 compliant by December 31 of this year with few surprises expected until then. Some adjustments we've had to make to our operating results as the result of this work have caused our growth profile in the enterprise data sector to be lower than originally thought. We perceive this to be temporary in nature and in the current year would expect to be in the high single digit growth and in the medium term, we continue to look for low double-digit growth. Speaking to strategy now, we continue to be focused on our operations and continue to pay down debt as you'll have seen. Thanks to the confluence of good operating metrics and sound capital management, we have managed to generate $275 million of free cash flow, an 84% increase over last year and an all-time record for our company. We have also as you’ve seen increased our dividend by a very meaningful 16.7% in cable. Turning now to Cogeco Inc. our media sector has also produced excellent results for the company. Here again probably the best ever in our history, thanks to a tight focus on audience generation combined with tight cost controls. Hereto at Cogeco Inc., the quarterly dividend has been increased by 15.9%. To conclude, our fiscal 2015 guidance has been maintained, except for free cash flow generation, which has been slightly increased and we continue to be intensely focused on delivering solid results. That completes my comments and now with the help of our operator, we will be happy to answer your questions.
Operator: Thank you. (Operator Instructions) The first question is from Phillip Huang of Barclays. Please go ahead.
Phillip Huang - Barclays: Yes, good morning, guys. Question on Atlantic Broadband, it looks like the average revenue per PSU growth appears to be decelerating just a little bit from the teens the last couple of quarters to around 7% this quarter. I was wondering if you could give us some color on the drivers behind that and perhaps an update on the pricing environment in the U.S.?
Andrée Pinard: Well, I guess you're looking at the -- excluding the FX impact, our revenue growth at ABB has grown by 4.4% in Q4, so that's pretty much of a satisfactory growth there, when you're excluding the FX impact. In terms of rate increases, late August we had special surcharges that were announced, which are included in our 2015 guidance. So you did have a special surcharge of $2.10 and then a special broadcasting surcharge of $2.90. When you're looking at the U.S. market, you have a lot of other ether satellite or cable operators that are putting through those special rate increases. So last year we also had a sports surcharge of around $2.90 which held up pretty well, but we didn't see any unusual churn there. So that's pretty much are included in our 2015 guidance.
Phillip Huang - Barclays: Right. So if you -- if we were to exclude the FX impact, then you -- we would look at sort of revenue per PSU at roughly growing the same rate as we've seen over the past several quarters would you say, is that fair?
Louis Audet: Well, I think what we're saying is that there is sort of the minimum increase, which we want to put through every year, but on top of that, there are meaningful increases that allow us to pass on the programming cost increases as they present themselves to us and that we are able to do with minimal churn. I think that's more just what Andrée has said.
Phillip Huang - Barclays: Got it. Okay. And on similar question for Canada with now 120 megabits per second available to 75% of our footprint and you're seeing sort of strong reaction to that, do you -- can we assume that average revenue per PSU or internet ARPU can see sort of reacceleration in terms of growth on that front.
Andrée Pinard: Yes, well I guess when you're looking at the trend, every year you have a higher portion of our internet customers that are migrating to higher internet services. So especially with our long 120 megabits service, we've continued to see that trend. So yes, there is positive increase in ARPU there.
Phillip Huang - Barclays: Got it. And one final question for me, on the wireless front I understand that you guys mentioned you will consider entering the wireless market as an MVNO -- that the right conditions are in place, but the government has historically been pretty clear in their position on wanting that fourth player to be a facility-based competitor. What's the government and regulators reactions your proposal been based on your conversation with them on this topic?
Louis Audet: Well, our conversations have been held in public forum. So there's been -- we have been -- no privileged information has been shared with us. What you can see is what's on the public record. We consider this to be an -- potentially an interesting opportunity, although not central to our strategy. And if we can gain access to MVNO conditions that are favorable, then this would provide our shareholders and our customers with a great opportunity. Now whether this comes to pass this year or in three years, I don't know, but I would suggest to you that throughout the world, this eventually becomes one of the ways that country is used to increase competitiveness in that industry.
Phillip Huang - Barclays: Great. Thanks very much.
Louis Audet: Thank you.
Operator: Thank you. And the next question is from Jeff Fan of Scotia Bank. Please go ahead.
Jeff Fan - Scotia Capital Markets: Thanks. Good morning. I want to just start off with the enterprise side. Louis you talked about high single digit growth for 2015, just wondering if these billing adjustments that we've seen in the last couple of quarters are expected to continue in '15 and whether that's obviously factored into your guidance, but just wondering if that is factored into your high single digit comment for 2015. I'll start there.
Louis Audet: Yes, well we have as you can see, we've gone through in depth dive to reassure ourselves that from a reporting standpoint we're doing a good job -- good job in our representations to shareholders. As you have witnessed in the last two quarters, there have been surprises and we regret them, acknowledge them and regret them. Now that being said, you will notice that as we get closer to December 31, our degree of confidence increases. So the short answer to your question is we do not expect there to be further adjustments of that nature. Now I can't rule them out -- we can't rule them out entirely because our work is not finished, but our work is sufficiently advanced for us to be highly confident that there should not be further adjustments that would affect fiscal 2015. I would hasten to add that despite this unfortunate circumstance, unfortunate but not huge, we were able to meet our projected guidance for fiscal 2015. So all things considered, it not so bad.
Jeff Fan - Scotia Capital Markets: Okay. And maybe just a further follow-on, on the enterprise, if we -- even if we adjust back come of the non-recurring items, I guess one of the things that we're noticing is the margin seems to be coming down in enterprise and I know part to that is because you have Tier 1, which is a lower margin business. So some of it mix driven, but we're also you have a comparable quarter now four year numbers with Tier 1, so it's not just mix. Wondering if you can talk a little bit about the margins of the enterprise business, what is driving that down a little bit?
Louis Audet: Thank you. Well look, I think you’ve already commented on what has driven it down, but that being said, we don't consider this to be an immovable reality. We will do in this business the same thing we've done in cable, where we now have a 52% margin in Canadian Cable and if you ask the question three years ago, probably you would have been skeptical if we had said that. So I think it's a bit the same thing here. There is no fundamental reason I am not saying 52%, I am not saying, not putting a number out there, but our efforts will be concentrated on developing the market, selling the best possible value to our customers, working on our expenditure line and moving that margin number up. So there is no fundamental reason why we should not be able to do this.
Jeff Fan - Scotia Capital Markets: Okay. And then one last question on the video business, both I guess U.S. and Canadian Cable, looks like what you're doing in the U.S. is just passing on the lot of the higher programming cost as you alluded you, focus more on the broadband business, which is higher margin and that makes total sense. Wondering if you see that trend developing in Canada as well where price increases are going to pass-through on video just to maintain that sort of gross profit dollar and then shifting your business towards a much more higher margin broadband business going forward?
Louis Audet: It's an interesting question because your question pre-poses that either we have a preference or that we are guided towards the given result, but the way we look at it is a bit different. The way we look at it is we have fundamentally in cable three great products and we cultivate all three. And we want the best possible outcome for all three and we want to recover our cost and then make a profit. So yes, programming costs have increased more quickly in the United States. We're passing them on to consumers with minimum churn and programming costs have started increasing and particularly with the sports properties in Canada and these are being passed on to consumers as well. Consumers understand what's going on because they are reading the news. Of course there is a regulatory process underway in Canada and that will result in an outcome that in our opinion, is when we look at the range of potential outcomes some phenomena we're quite comfortable with and confident that we will maintain our absolute value EBITDAs and increase them. So I think the answer to your question is we cultivate all our products and in particular, the launch of the TiVo product both in the United States last year and in Ontario just yesterday, I am sorry Thursday, our strong indications of our belief in the fact that the video service is a service that is valuable for consumers and one through which we continue to add value and continue to increase ARPUs that’s been our experience in the United States and we expect it to be the same in the Canada. So the outlook looks pretty good right now to tell you the truth.
Jeff Fan - Scotia Capital Markets: Okay, thanks Louis.
Louis Audet: Thank you.
Operator: Thank you. And the nest question is from Glen Campbell of Bank of America/Merrill Lynch. Please go head.
Glen Campbell - Bank of America/Merrill Lynch: Yes, thanks very much. My questions are on TiVo. I wonder if you could give us little more color on the progress on the TiVo role out in the U.S. and little bit on the economics, for example is TiVo your only premium set top offering now or there mix? Could you give us a bit of a sense of the mix and whether the economics are tougher for you now than they were before? And then turning to Canada, can you talk about differences between what you're offering in Canada from what you're offering in the U.S. in terms of hardware and service?
Louis Audet: Sure I'll do my best. First thing that service has been since May available to 95% of our footprint in the United States. Our older set top boxes are still available but let's face it. The enthusiasm for the TiVo service is so great that we were in effect placing mostly TiVo boxes and secondarily other types of non- PVR boxes, but the primary PVR box is the TiVo box. As you will have seen, we had an agreement -- we have and have used our agreement to put the Netflix icon on to the TiVo service in the Unites Status and we announced Thursday that the same arrangement has been concluded for Canada such that all free over-the-top content is also available to consumers in Canada and the United States and paid over-the-top content is facilitated, thanks to this agreement with Netflix, but the possibility exist to engage in negotiations and add other suppliers icons as well. In Canada we are using pretty much the same strategy. It’s a $20 monthly cost for the basic TiVo box and a $7 monthly cost for the secondary television sets, but giving customers the full experience. So that the ability to select content from the traditional cable content, the paid content, the recorded content and the over-the-top content to any television set in the home, the ability to use the pad or the intelligent phone as a browser or as a command unit. The ability to switch the programming from one television set to the other, the ability to record on your tablet and carry it with you, the ability to use a search engine that is driven by your viewing habits, so you can either ask the search engine to perform a particular search for you which it does on all content sources including over-the-top. So you can do that, or if you're not so sure, you ask the recommendation engine to put up choices based on your past doing and it will also do that. So this is an extremely user-friendly experience and one that is meeting with high enthusiasm in the United States. It's bringing us new customers, its raising ARPU, but we have not published any further statistics in that regard.
Glen Campbell - Bank of America/Merrill Lynch: That’s helpful. Thanks. May be just directionally, is it mostly being used on retention in the U.S. is it mostly -- or is it to…
Louis Audet: No, no, it's used in both retention and the acquisition in the United States.
Glen Campbell - Bank of America/Merrill Lynch: And on economics, without getting into particulars, is it fairly neutral from a critical standpoint in terms of what you're charging the customer, what the box has cost you relative to the old PVR boxes or is it some of more expensive solution for you and then from a customer standpoint…
Louis Audet: I think its adding more value than the old boxes that we've been using. More value translating into more shareholder value.
Glen Campbell - Bank of America/Merrill Lynch: Okay great. And just a last one on that. In your '15 plan, you got a certain assumption there on TiVo take up, would you characterize this as being sort of still a bit niche or would you see this as being sort of a fairly broad pick up 2015, behind the numbers you're assuming on the CapEx side.
Louis Audet: Well yes, we have made assumptions, but these assumptions are a bit conservative in nature and if reality ends up being better, given the price at which we're selling it, it should be good for our shareholders.
Glen Campbell - Bank of America/Merrill Lynch: Okay. Thanks very much.
Louis Audet: Thank you. 
Operator: Thank you. And the next question is from Drew McReynolds of RBC.
Drew McReynolds - RBC: Thanks very much and Good morning. Two questions for me, first with respect to Canadian Cable, just wondering if you can update us on what the current IPTV overlap or overlap is with your footprint? And then secondly just on Atlantic Broadband, obviously a lot of news floor around FCC and net neutrality and potential on bundling and obviously we had two major transactions in the U.S. under review. I am just wondering as you look out in the next 12 to 24 months, is there anything that you glean from all of these developments in terms of the impact on the Atlantic Broadband business. Thank you.
Andrée Pinard: Okay. So I'll cover the IPTV overlap in Canada. So we do on a quarterly basis, we do monitor it. Currently we estimate that we have an overall and this would include as well tellers which operate, Eastern Quebec between 30% and 33%. When we're looking at their IPTV coverage, we’ve seen them much more in Ontario. So I guess -- Quebec has been slower to deploy. So that's a bit where we’re at.
Louis Audet: And with respect to your question regarding Atlantic Broadband, of course the regulatory situation keeps fluctuating, but it sounds like the SEC is currently considering a Tier 2 status -- a modified Tier 2 status for ISPs, which we are, that would in fact introduce a regulatory component into the wholesales rates that an ISP charges to a program supplier. Now it so happens that we don’t charge program to buyers currently -- the content we carry I am sorry, the content provided. So that is more or less neutral to us and it sounds like the SEC would not regulate the retail side of the business which of course is fine with us. And of course that would be a lot more -- a lot more serious outcome, but one that is extremely cumbersome for any regulatory body and one that the SEC from what we hear wants to stay away from.
Drew McReynolds - RBC: Okay. Thanks Louis for that. And just with respect to the proposed M&A transactions that are in the review, as you go through your footprint and the competitive analysis, do you anticipate any real changes in that competitive environment as a result?
Louis Audet: No, not really.
Drew McReynolds - RBC: Okay. Thank you.
Louis Audet: Thank you.
Operator: Thank you. The next question is from Rob Goff from Euro Pacific. Please go ahead.
Rob Goff - Euro Pacific Canada: Thank you very much and good morning.
Louis Audet: Good morning.
Rob Goff - Euro Pacific Canada: Two questions if I may. The first would be on the U.S. surcharges. Would there be a margin associated with the surcharge? And then as a second question, it would be on the Canadian Cable margins. And there given very tight OpEx constraints that we saw in fiscal 2014, is there bit more cost pressure and within that I would also ask about the cost pressures associated with the TiVo introduction. Thank you.
Andrée Pinard: Okay. So, in terms of the U.S. surcharges that’s basically some programming rate increase pass through. Then if you look in terms of the Canadian cable, you’ve seen quarter-over-quarter we’ve improved our EBITDA margin. So I think it’s a function of two things of our cost control, constant reviewing of processes and you’re also having a larger mix of revenue related to high speed Internet with higher margins. If you’re looking at our guidance in 2015, we don’t provide segmented information, but you’ll see a small dip in the margins. So if you’re excluding the non-recurring items of the enterprise segment we had in 2014, the dip would be around 0.6%. So still modest and there are probably factors in that dip where you have the enterprise segment because it’s still higher growth, contributes a smaller EBITDA margin relative to cable. So this has an impact on the consolidated margin. You might see some slight decline in Canadian Cable, but mainly related to sports programming. If you’re looking in terms of the impact of the TiVo launch, given the assumptions we’ve put in our forecast in terms of pick-up rate should be pretty neutral on the margin because when you’re looking at the Canadian Cable versus U.S. Cable, in Canada because of the largest scale. We have larger marketing budget to work from, so we can manage such a launch within our marketing budget, so this should be pretty neutral on our margins.
Rob Goff - Euro Pacific Canada: Good. Thank you, Andrée.
Operator: Thank you, and the next question is from Tim Casey of BMO. Please go ahead.
Tim Casey - BMO Capital Markets: Thanks, good morning. Louis just on the Enterprise segment could you talk about market conditions, competitive conditions as you see them in your big business units on the Enterprise side? And could you talk about capital intensity in that business? Do you expect to still have to maintain the relatively higher capital intensity ratios to drive the growth or do you expect you are going to be able to go in the more of a harvest mode? Thanks.
Louis Audet: Yeah. The competitive situation as we see it is pretty much the same as we've seen all of last year. Of course, that depends on the market we are addressing. So we are addressing the high-end market with our hosting and transport facilities in Toronto and soon in Montréal, where there is in fact a lack of capacity. So I would say the general market conditions there are stable. As you know with PEER 1 Hosting we address the midsize market, somewhat smaller accounts, midsize market. We address a market that requires our help to make their e-commerce solution work and hence are not likely to be using of cut price solutions such as Google or Amazon or others. So we stay away from the high price competitive areas and we focus on clients who actually need our help. So there are two I would categorize the market as being pretty stable in terms of competitive conditions.
Tim Casey - BMO Capital Markets: And on the capital side?
Louis Audet: On the capital side, we are currently completing the build of the first part of our Kirkland data centre and as you know when you starting building a data centre, it requires a lot of capital up front. But I would expect us to be in a EBITDA cash flow neutral position in fiscal 2016 and of course you heard that, say that many times. I think it's the third year we say that, pushing it forward all the time. But we will then have sufficient unused capacity in Toronto and sufficient unused capacity in Montréal to enter into a free cash flow generating mode. And thereafter I would hope that any new data centre we start that the internally generated cash flow is sufficiently important that there is some free cash flow left, free and glowing free cash flow left, from that point on. I think we will have to have one of the key development states of that company.
Tim Casey - BMO Capital Markets: Thank you.
Louis Audet: Thank you.
Operator: Thank you. And the next question is from Dvai Ghose from Canaccord Genuity. Please go ahead.
Dvai Ghose - Canaccord Genuity: Yes, thanks very much. A couple of questions in operations and then one on balance sheet if I may. On the operations, I'm just trying to decipher the Enterprise division, it is a tough quarter because you have both the $3 million nonrecurring charge which I believe is both on revenue and EBITDA as well as foreign currency appreciation. I calculate the normalize, if I exclude both in U.S. dollars your revenues were up about 8% to 9% EBITDA 2% to 3% would that be correct?
Andrée Pinard: Yes, if you exclude the FX if you are looking at this quarter versus last year, it would be a growth of about 4% in terms of revenue.
Dvai Ghose - Canaccord Genuity: So that's including the billing lead charge.
Andrée Pinard: Yeah well, I guess you have some adjustments that hit only the EBITDA level. So if you're looking more the EBITDA level where he would be excluding the nonrecurring and the FX, it would be a growth of about 2.8%.
Dvai Ghose - Canaccord Genuity: Right, that's what I thought. All right thanks very much. On the Canadian Cable, I know that fiscal Q4 is usually weak because students go back home in the summer, but I think for the first time you've reported a sequential decline in revenue, albeit a modest 0.5%. Is that timing related or just PSU related?
Andrée Pinard: Well, I guess you are comparing to…
Dvai Ghose - Canaccord Genuity: I'm just comparing it to fiscal Q3, so you got 315 of revenue 317 and normally your Q4 goes up sequentially even though it is usually weak.
Dvai Ghose - Canaccord Genuity: I think we'll have to get back.
Dvai Ghose - Canaccord Genuity: Yeah, yeah. That's not a big one.
Andrée Pinard: Yes.
Louis Audet: As where your question is taking your for the back a little bit because we think of ourselves as constantly roping it.
Dvai Ghose - Canaccord Genuity: Well that's why the I was a little surprised, but…
Louis Audet: So, we're really surprised. So we'll have to catch up with you on that.
Dvai Ghose - Canaccord Genuity: All right, all right, but here is my real question Louis if I may, so your dividend it was great to see the 17% increase. It now equates to about 25% to 26% of your net income and free cash flow guidance this fiscal year which is still way lower than your Peers. But in the policy you have a sort of 20% in your mind. I am wondering should we be thinking about payout ratios going forward and if so, are they growing up?
Louis Audet: All right, that's always an interesting question and it goes to say how the human nature is never satisfied. You can see the 16% and you're asking me if this is going to go up. So this company as you know is philosophically inclined to a better growing dividend. But it's also a company that has a lot to do in terms of growth. So it’s a balancing act where we want to reimburse debt, grow and distribute dividends. And then hopefully dividend that keep on increasing so, I think that's the best answer I can give.
Dvai Ghose - Canaccord Genuity: No, that is fine, and then maybe in can use sort of the Segway to my last question, so you've I believe you achieved three times debt-to-EBITDA target a year earlier you would expect it is I think by the end of 15. Is this meeting full at all when it comes to using the balance sheet for future acquisitions or may be even buybacks?
Louis Audet: Yeah, well buybacks would not philosophically be something that we would consider except in very unusual conditions which there aren't these days. We have reached the objective of course is subject to fluctuation depending on results from quarter to quarter. So we're there and maybe we're not there, but after a few quarters we will be there and then it would be a good time to start considering acquisitions. In the data centre space we have as you've seen we've built but actually I haven’t, we're built and we're focused now on streamlining our operations to generate greater organic growth and improve profitability and we're selling our Barrie data centre capacity and will are and well be filling up our Montréal data centre capacity and there is a lot there. So, that will be the extent probably of our focus on the Enterprise service sector, not to tie ourselves and limit our freedom, but directionally that is a probably a safe bet to think that, that's where it is going. In terms of cable in the United States, Atlantic broadband for us is the platform to grow in the more fragmented American market. Today, we have looked at a few opportunities, but concretely nothing has materialized. So, I guess we will keep on reviewing what becomes available and we will do so in the context of the commitment we have made in the past that maintaining our investment grade rating on secured debt is something that we value. So we will continue to act to keep that status, because it is important to us. So I think that is the best answer I can give to your question.
Dvai Ghose - Canaccord Genuity: No that's good, best of luck with the TiVo launch in Canada as Rogers does not offer it to me as a consumer, I hope you'll allow me to come to your office and test it.
Louis Audet: You are most welcome, thank you for that.
Dvai Ghose - Canaccord Genuity: Thanks.
Andrée Pinard: Oh and just to mention, there will be hosted probably already online. There will be a webcast of our TiVo demo. So if you want to see the various functionality it's available under Investor Relations under Events.
Operator: Thank you. (Operator Instruction) And the next question is from Maher Yaghi of Desjardins. Please go ahead.
Andrée Pinard: And just to mention this will be -- the next one will be the last question.
Maher Yaghi - Desjardins Securities Inc.: Thank you for taking my question. Yes Louis, I am not surprised by the answer you have on -- I asked you about the sequential revenue decline. From what I have seen, it hasn’t happened for the last 10 years, so it’s a tremendous record you guys have had, but yes I think just to clarifying may be reasons for the sequential revenue decline would be interesting here for us to understand what has caused that to happen for the first time over the last 10 years. And just a follow-up question on TiVo, now when -- I assume you want as many of your customers to have this product in their possession to experience the product and to get out the most from their connection with Cogeco. But when I look at your competitor in the marketplace while currently IPTV is not very competitive on your territory to a big extent, but that is going to increase over the next couple of years. The competitor is offering their set-top boxes for free and even the rental for the second one is most of the time given for free while you're asking $20 for our DVR and $7 for additional boxes. Do you think that kind of economic situation is sustainable for you to deploy TiVo to as many clients as you can or may be some changes in the economics might need to be considered next year or the year after?
Louis Audet: I think we have to view this with a longer term view. We are introducing what we consider to be a superior product, a product that has more appeal for consumers and we think we can charge a premium for. And we think in doing so, it is an effective tool against our competitors. Now that’s what we think and I think your point is well taken in the sense that until you see what happens in the marketplace you don’t really know. We believe in this. We're very enthusiastic and we think we will get a premium for it and then you will get into the question of what’s the size of the premium you will get for it. It’s a fair question. So I think we're going to live through this one step at a time. See what happens, but right now we know we have the best product on the market and we know that there is high demand from consumers for a tool that allows them to -- can survey the whole range of offering, whether they're on the cable system, on the DVR, pay services, or over-the-top services with one search engine and one program guide. So that’s -- its pretty powerful and I've described the features of this TiVo earlier in this phone call. So right now, our confidence level is pretty high.
Andrée Pinard: And probably one thing I would add also is that we price the TiVo box in relation to the Canadian markets. So when we're looking at the ABB experience, its slight priced higher. When you’re looking at the price -- the all-in price it's $25 for the TiVo service. So that’s a premium of about $10 over your HD/DVR relatively to the Canadian market where we've priced it at $5. So I think at ABB, we've has good traction with this. So given we've considered in our pricing the Canadian environment, so we feel comfortable with this and we'll have also promotions for triple play customers, the higher value customers. So that should make the offering even more -- more competitive in terms of new customer acquisition. Going back to your first question, in terms of the sequential drop in revenue for the Canadian Cable operation, this is mostly -- it's a mix of timing of the equipment sale. So we've had less equipment sales in Q4. So that does have an impact and also if you're looking in terms of promo, there is a bit more promo in Q4 versus Q3. So those two items would mainly explain the decline in revenue.
Maher Yaghi - Desjardins Securities Inc.: Okay. Thank you.
Andrée Pinard: We'll take one last question.
Operator: There are no further questions at this time. Please continue.
Louis Audet: All right. Well thank you very much everyone.
Andrée Pinard: Thank you for joining and if ever you have other questions, please feel free to call me. 
Louis Audet: Have a good day bye.